Kristopher Doyle: Good morning. I'm Kris Doyle, Vice President, Investor Relations and Treasurer. Welcome to our Earnings Call for the Fourth Quarter and Full-Year of 2020. Please note, this call is being recorded and all lines have been placed on listen-only mode to prevent background noise. Before we begin this morning's call, I'd like to remind you this presentation contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of future results and conditions, but rather are subject to various factors, risks and uncertainties that could cause our actual results to differ materially from those expressed in these statements. Please refer to the page entitled Forward-looking Information for additional details. Presentation materials for today's call were posted on the Investors section of Visteon's website this morning. Please visit investors.visteon.com to download the material if you have not already done so. Joining us today are Sachin Lawande, President and Chief Executive Officer; and Jerome Rouquet, Senior Vice President and Chief Financial Officer. We have scheduled the call for one hour, and we'll open the lines for your questions after Sachin's and Jerome's remarks. Please limit your questions to one question and one follow-up. Again, thank you for joining us. Now I'll turn the call over to Sachin.
Sachin Lawande: Thank you, Kris. Good morning, everyone. Page 1 summarizes our fourth quarter results and the full-year highlights. Visteon finished the year strong with sales of $787 million, up 5% year-over-year when excluding currency. Our strong performance was largely driven by the ramp up of new products launched during 2020. Adjusted EBITDA was $75 million or 9.5% of sales and in line with our expectations. We also generated adjusted free cash flow of $59 million in the quarter. Adjusted free cash flow for the full-year was $96 million despite the unprecedented industry shutdown in the second quarter followed by its V-shaped recovery in the second half. On the operational front, we continue to strengthen Visteon’s future growth in the fourth quarter, securing 22 new business awards from customers worth $1.4 billion in lifetime value. This brings our full-year new business total to $4.6 billion with $3 billion won in the second half. This is an outstanding achievement considering the industry environment and confirms that our strong technology portfolio aligns well with key trends in the industry. We also launched 11 new products in the fourth quarter, bringing the total for the full-year to 55. This makes 2020 one of our best years ever for new product launches despite the pandemic. Our products were launched on some high-profile vehicles that appropriately received significant attention and scrutiny. The team deserves great credit for delivering on our customer commitments despite the COVID challenges. The stringent cost control measures and restructuring actions we took early in the year resulted in significant structural cost savings. All functions including engineering, manufacturing and SG&A reduced their cost base. Capital expenditures also decreased in line with our expectations for the year. In addition to improving our adjusted EBITDA margin and adjusted free cash flow, these actions allowed the company to finish the year with strong liquidity and a net cash position higher than our pre-COVID level. I will discuss our fourth quarter performance in more detail in the subsequent pages followed by our outlook for 2021 before transitioning to Jerome to discuss the financials. Turning to Page 2. The global automotive industry continued its recovery in the fourth quarter, driven by robust consumer demand and the restocking of dealer inventories. From a year-over-year perspective, while overall global vehicle production was up, customers that represent almost 90% of our revenue saw a drop in vehicle production by approximately 2 percentage points led by double-digit declines at Ford and JLR. While vehicle production at our top customers declined, our sales increased 5% year-over-year on a constant currency basis. Our performance was mainly driven by the high number of product launches over the prior four quarters. In the Americas, our sales were up 2% driven by higher take rates on large displays and new product launches with VW and Ford for infotainment and digital clusters. In Europe, our sales were up 15% year-over-year and the strength of our new product launches with PSA and Daimler and the ongoing ramp up of production of recently launched products. In Asia, we continue to offset the decline of infotainment revenue at Mazda with new product launches with other OEMs closing the gap in vehicle production to 2 percentage points. The transition of the industry to digital clusters continues to be a key driver of our better-than-market performance. In the fourth quarter, for example, our shipments of all-digital clusters almost doubled from prior year. Display audio and large display systems also grew well as we continue to benefit from industry demand for this products. The growth of this digital products more than offset the decline in older products as well as lower customer production volumes. Turning to Page 3. As I said previously, Visteon launched 11 new products during the fourth quarter, bringing the full-year number to 55. The left side of the page shows some of our fourth quarter highlights. Digital clusters have been steadily migrating into the lower end of the market in A and B class vehicles and we launched two clusters for this section of the market in the fourth quarter. The first entry-level digital cluster is on the Renault K-Ze, an electric City car priced below $10,000. The car will be introduced first in China, followed by upcoming launches in Europe. The second cluster is for competitively priced vehicles on the VW MQB platform, which includes vehicle models, such as the Golf and the Polo. As a cross platform product, this cluster has very high volume and provides us the scale to drive cost down further and bring digital clusters to mass market vehicles with other OEMs. We also launched high-end digital clusters in the fourth quarter, including 12-inch clusters on the Cadillac CT4 and for Mercedes-Benz AMG GT vehicles. The cluster for the Cadillac CT4 is a mid-cycle upgrade. The vehicle previously offered an eight-inch cluster from a competitor. We developed and launched the new 12-inch cluster for GM within 18 months for this vehicle, leveraging our digital cluster platform. The cluster for the Mercedes-AMG GT car line offers high-end features such as Supersport mode with high quality graphics and OTA software update capability. As part of the continued digitization of the cockpit, the industry is moving toward replacing traditional hard buttons, knobs, and switches with modern control panels that use touch and haptics combined with displays for a more refined experience. We launched the new control panel system with JLR based on touch input and haptic feedback that embedded color displays. The JLR system will be launched in eight different vehicle models across the Jaguar and Land Rover brands. On our last earnings call, I had mentioned that the two-wheeler market is transitioning to the all-digital cockpit similar to passenger cars. We launched an innovative digital cockpit system for Honda premium motorcycles in the fourth quarter with the five-inch TFT display, Bluetooth Low Energy and support for turn-by-turn navigation, music and phone calls via an app on the phone. We expect this trend to continue to grow in the two-wheeler market, which has high volume potential for our products in the future. For the full-year, we launched 55 new products with 22 OEMs globally worth more than $5 billion in lifetime value. Our launches included some of the most advanced cockpit systems in the industry on a number of very high profile vehicles. They included some key new technologies that will serve us well in the future, such as our Android-based infotainment platform, SmartCore system based on new Qualcomm processor and digital cluster for the low end of the market. Turning to Page 4. We won $1.4 billion in new business in the fourth quarter, bringing the second half 2020 new business total to $3 billion, which is in line with our performance in prior years despite the COVID-19-related industry slowdown. Some of the Q4 new business win highlights include the second customer for our industry-first wireless battery management solution. This win is with a global OEM. We are not allowed to make their name public and we will launch initially in 2023. Similar to our first win with GM, there will be additional follow-on launches as the OEM adds more vehicle models to their electric platform. We are very excited about this win, and look forward to expanding our engagement with this OEM on their electric vehicle models, as well as presenting the solution to other OEMs. The second win highlighted on the page is for a digital cockpit solution for a leading motorcycle manufacturer. The win leverages our SmartCore technology with Android-based infotainment and digital cluster features. This is a new customer for Visteon and we are pleased to expand our customer base in the two-wheeler market. As I have mentioned before, the two-wheeler market is undergoing a digital cockpit transformation similar to passenger vehicles. This system will launch in 2024 and uses a 12-inch display that offers connected apps and over-the-air software download capabilities. Similar to the earlier example, the work we did with the first Android infotainment system for VW was critical for us to win this business. Large displays bigger than the traditional 10 and 12-inch displays are increasingly becoming a point of differentiation for vehicle manufacturers. Beyond size, there is increasing interest in making the display match the premium look and feel of consumer products, such as tablets with narrow borders and high optical performance. The third win highlighted on this page is for a dual display system for Japanese OEM that uses two 14-inch displays under a single glass covalence to create a seamless 28-inch display viewing area. This display will have the thinnest border in the industry and deliver the premium tablet-like experience our customers seek in their vehicles. Despite the industry challenges in 2020, our product and technology portfolio is enabling us to continue to win significant business. We expanded our customer base with three additional OEMs, one each in the commercial vehicle, passenger car, and two-wheeler markets. Our battery management business received a boost with the addition of a second customer and we added a new commercial vehicle manufacturer to a list of customers for an Android-based digital cockpit our third in this vehicle category. Turning to Page 5. This page shows our progress in transforming our product and technology portfolio despite the pandemic. Our recently launched digital clusters are doing very well in the market and in the fourth quarter represented half of our total cluster sales up from about a third a year ago. We expect this growth to continue as digital clusters migrate into mass market vehicles from the more higher-end vehicles today. We launched our first Android-based infotainment systems and one business with three additional OEMs in 2020. Although, Android is quickly becoming the operating system of choice for the digital cockpit, stock Android is not sufficient. Visteon has the necessary experience in extending Android with our software to meet automotive requirements. Our investment in display technologies is beginning to show results with multiple wins at OEMs for advanced displays. Our capabilities in design and manufacturer of large complex displays is state-of-the-art especially in the design and manufacturer of curved lens in optical bonding of the different components. We upgraded our SmartCore technology to support new and high-performance processor from Qualcomm and launched the first system for an electric vehicle with the manufacturer in China. We have multiple programs under development with other OEMs based on this technology. As mentioned, we added a second customer for our wireless battery management business, adding to our momentum in this emerging area of business for Visteon. Lastly, with DriveCore, our ADAS technology for integrated Level 2-plus systems. We made progress in evolving our vision algorithms to achieve the levels of lane, car and pedestrian detection required for highway driving. We also integrated our driver monitoring system into our platform to meet new regulatory requirements. In summary, we made good progress in evolving our products to address the three main trends in automotive electronics. The growing demand for digital cockpits, the electrification of the powertrain and the evolution of ADAS for more automated driving. As the industry returns back to normal operation, we are confident that we can win business at the level of $6 billion or more with this product portfolio. Turning to Page 6. As we look ahead, I would like to discuss some of the key considerations that influence our 2021 guidance. First, we anticipate the underlying market demand to remain strong in 2021. The demand signals from OEMs at the end of last year indicated a continuation of production from the levels in Q3 and Q4 into 2021. In addition, we will continue to launch on average more than one product a week in 2021. Coupled with the new products we launched in 2020, we are well positioned to continue to outperform underlying vehicle production growth this year. However, 2021 will not be without challenges. I am sure you are well aware that the industry is experiencing a significant shortage of semiconductors. The shortage is expected to impact vehicle production and limit growth particularly in the first half of the year. Based on our discussions with suppliers, we anticipate the supply of semiconductors will improve in the second half. Based on this assumption and on industry data for production, we believe production growth for the full-year will likely only reach high single-digit levels versus the double-digit growth that industry expected prior to the shortage. The semiconductor shortage will also constraint Visteon’s growth over market as our new digital products have higher use of silicon than the older products they are replacing. We also recognized that COVID-19 will continue to impact our industry. Although, Visteon successfully navigated through the COVID-19 pandemic in 2020, we expect the pandemic will continue to create challenges and uncertainties throughout 2021 until a sufficient number of people have been vaccinated across the globe. Finally, as Jerome will detail in his section, we anticipate margin expansion in 2021 compared to 2020, despite the added costs due to semiconductor shortages. This is primarily driven by the structural changes we implemented in 2020 to reset our cost base, which will help offset the non-recurrence of the austerity measures we implemented early in the pandemic. In addition, we expect sales flow through and fixed cost leverage to more than offset the increase in activity-based costs. Turning to Page 7. As I mentioned on the previous page with the consumer demand remaining strong, the industry was forecasting 2021 production to reach 85 million units of growth of about 14% over 2020. However, the semiconductor suppliers that supply various types of chips that go into automotive electronics components, such as brake controllers, engine controllers, body controllers, and cockpit electronics cannot meet the higher industry demand. The semiconductor shortage has been well-publicized and several factors appear to have created the situation. For example, semiconductor suppliers underestimated the pace of recovery from the lows of second quarter of last year. At the same time, demand for chips from the consumer electronics sector has gone up due to working from home and the increased use of semiconductors in newer consumer devices, such as 5G phones. These and other factors contributed to a tightening of the supply chain for semiconductors that's affecting all industries, including automotive. Based on conversations we are having with our customers and our suppliers, we anticipate a 10% to 15% gap between OEM demand and semiconductor supply in the first half of 2021. The supply situation is expected to improve during the second half of the year as new capacity is being added with the lead time of about 26 weeks. As a result, we are expecting that vehicle production will be impacted in the first half by about 10% to 15%, particularly in the second quarter before improving in the third and fourth quarters. In total, we anticipate that industry production volumes will increase approximately 8% in 2021 to 80 million units versus the initial expectation of 14% growth. Nevertheless, it will be the first time since 2017 that the industry will see a year-over-year growth in vehicle production. I would like to emphasize that the situation is very dynamic and it's still evolving, therefore, we may need to update our assumptions as the year progresses depending on how vehicle production and semiconductor supplies evolve. Turning to Page 8. Despite the muted growth of vehicle production in 2021 due to semiconductor shortages, we have another year of high new product launches that will continue our market outperformance in 2021 and beyond. We have more than 50 products with over $7 billion in lifetime revenue that are scheduled to launch with over 20 different OEMs in 2021. These launches are for a broad set of products, including the first launch of our battery management system, multi-display systems, Android-based infotainment and digital clusters. With the launch of 55 new products in 2020 and an additional 50-plus this year, we'll be setting the stage for faster than market sales growth not only for this year, but also for the next, which will greatly help in achieving the 2023 targets that I will discuss next. Moving to Page 9. Our three-year business plan is based on the updated perspective of vehicle production over this period and the continued outperformance due to a high number of new product launches. After three straight years of industry production declines, including an unprecedented and dramatic production low of about 75 million units in 2020, we are assuming the continuous increase in production levels to about 89 million units in 2023, representing a CAGR of about 6%. In 2021, we anticipate sales will be between $2.875 billion and $3.025 billion. The midpoint of $2.95 billion representing approximately 16% year-over-year growth driven by the rebound in industry production volumes and our continued growth over market. In 2021, we currently forecast growth over market in the mid-to-high single-digit range. We anticipate this will accelerate over the next two years as we continue launching new programs. We anticipate 2023 sales to be approximately $4 billion of which more than 90% has already been sourced. We expect to close the remaining gap through a combination of new business wins in 2021, as well as the typical program expansion and extensions that we have experienced in previous years. However, even at 89 million units in 2023, the industry will still be about 7% below the peak it achieved in 2017 with 95 million units. Despite this decline, we are anticipating Visteon’s 2023 sales will be about 25% higher than 2017 sales. As we progressed through 2021, that excited about our growth trajectory, which we expect will include absolute sales growth, sustained growth over market and adjusted EBITDA expansion. Moving to Page 10. In summary, the company executed well in 2020, particularly during the second half of the year. I would like to thank our customers, suppliers, employees, and investors for their support in a challenging year. We expect to carry this positive momentum into 2021 and hope to recover from the headwinds in the first half created by the semiconductor shortage during the second half of the year. The company built a strong foundation for future growth by launching 55 new products and booking $4.6 billion in new business during the year. We expanded our product portfolio to address the emerging shift towards electric vehicles and gained early momentum with OEMs for our battery management systems. The recovery we experienced last year and the new business pipeline we have created has set the stage for continued market outperformance. It positions the company to achieve our 2023 targets where we expect to surpass our 2017 sales and profitability performance. Now I will turn the presentation over to Jerome to review the financial results.
Jerome Rouquet: Thank you, Sachin, and good morning, everyone. At this time last year, we could have never envisioned the challenges the automotive industry was about to face with industry production coming to a stop at most locations at some point throughout the first half of 2020. We are very proud of how the Visteon team tackle the challenges and continue to deliver on our commitments, while resetting our cost base and improving cash generation. These actions will ensure we are well positioned for the future. Visteon has continued to outperform industry production at our top customers driven by a high number of new product launched in 2020, 55 for the full-year. In 2020, Visteon sales were $2,548 million, representing a decrease of 13% when excluding the impact of currency. In comparison, overall industry production volumes decreased 16%, while production volumes at Visteon’s top customers declined approximately 20%. Cluster sales, which represent approximately half of our total sales increased compared to prior year despite the industry production decline. This performance was driven by the growth in all-digital clusters, which increased approximately 60% compared to 2019. Cost performance was another highlight for the year with a major reset of our cost base. Decremental margins for the full-year were approximately 15% on a normalized basis, reflecting the significant cost initiatives undertaken very early in 2020. Compared to 2019, net engineering was down approximately 30% and adjusted SG&A was down 15%. Costs were reduced as a result of lower activity levels, strong cost controls as well as short-term austerity measures, which primarily impacted Q2 and Q3. However, we do not rely on short-term actions alone and also undertook a major structural reset of our cost base, including various restructuring programs. For the full-year, adjusted free cash flow was $96 million and reflects the disciplined and prudent approach we took during the entire year. Capital expenditures were reduced by approximately 25% due to structural changes we implemented to our capital expenditure process during Q1, while benefiting as well from lower activity levels during the year. Adjusted free cash flow was also positively impacted by temporary negotiated payment terms extensions with some of our suppliers, as well as from favorable timing from some customers’ collections. With a strong balance sheet at the end of December 2019, we entered the pandemic with significant flexibility. Despite a challenging year and with our focus on cost and cash generation, our position is even stronger than at the end of December 2020 with $0.50 billion on cash on the balance sheet and a net cash position of $151 million. We are entering 2021 with ample flexibility and our goal is to continue to maintain a strong balance sheet. Moving to Page 13. 2020 is a tale of two halves with a first half impacted by the outbreak of the COVID-19 pandemic and plant closures, while the second half experienced a significant rebound in retail sales and industry production volumes. Our results in the second half benefited from the industry rebound and the cost savings that we implemented in the first half of the year. Sales in the second half of the year were $1,534 million, representing an increase of $520 million from the first half of the year. Adjusted EBITDA was $162 million, representing an adjusted EBITDA margin of 10.6%. Compared to the first half, incremental margins were in the mid-20 percentage range as EBITDA benefited from structural cost savings, increased fixed cost leverage, and the higher engineering recoveries while being negatively impacted by higher incentive compensation, freight and logistics expenses. Short-term austerity measures increased EBITDA by approximately $15 million in both halves of the year. In the second half of the year, this represents approximately 100 basis points of margin. In total, adjusted EBITDA margins were robust in both Q3 and Q4 as the result of the industry rebound, our growth of a market as well as our cost discipline. Q4 sales were $787 million and Q4 adjusted EBITDA was $75 million or 9.5% broadly in line with Q3 EBITDA margin percentage adjusted for austerity measures. For the full-year, adjusted EBITDA margin were 7.5%, 40 basis points lower than 2019 despite a significant reduction in sales. Page 14 provides an overview of our cash and net cash position at the end of the year as well as our adjusted free cash flow for the full-year. Our balance sheet continues to be one of the best in the industry with a net cash position of $151 million and the net debt to last 12 months EBITDA ratio of negative 0.8x with no debt maturities until 2024. Adjusted free cash flow for the year was $96 million, an improvement of $40 million versus 2019. Adjusted free cash flow benefited from our disciplined approach during the year, including a 25% decline in capital expenditures. Beyond the reduction in activity levels, this reduction was driven by the structural capital expenditure process changes we implemented in Q1 2020, focusing on optimizing reuse, costs and payment terms. As previously discussed, Visteon also negotiated temporary payment terms extensions with some suppliers early in the pandemic as the depth and the duration of the crisis was still unknown. These temporary payment terms extensions improved adjusted free cash flow for the year by $20 million, which will reverse in the early 2021. Lastly, we benefited in Q4 2020 from higher than anticipated collections from some of our customers, which were anticipated to be received in early 2021 with increased adjusted free cash flow by more than $40 million for the full-year. In the fourth quarter, Visteon contributed approximately $16 million to its legacy U.S. pension plan. The plan is closed and the last contribution was made in 2012 when Visteon pre-funded obligations through 2019. Restructuring payments, which are not included in our adjusted free cash flow were $32 million in 2020. Turning to Slide 15. On Page 15, we present our full-year guidance for 2021. Our guidance for sales is between $2,875 million and $3,025 million, which had the midpoint $2,950 million represents a 16% increase compared to prior year. This assumes an increase in global industry production volumes of approximately 8% while growth of our market is expected to be in the mid-to-high single-digit range. Given the uncertainty around the 2021 semiconductor shortages and its impact on industry production volumes for the year, we have elected to broaden our sales range each year. We anticipate the semiconductor shortage will lead to additional OEM plant closures in the first half of the year before the situation stabilizes in the second half of the year. Adjusted EBITDA is forecasted to be between $230 million and $270 million, representing an adjusted EBITDA of $250 million or 8.5% of the midpoint and expansion of 100 basis points versus prior year, despite higher costs due to semiconductor shortages. Adjusted free cash flow is anticipated to be between $35 million and $65 million. Adjusted free cash flow will favorably be impacted by higher adjusted EBITDA, while also benefiting from our continued focus on optimizing capital expenditure. For the full-year, we anticipate capital expenditure will be approximately $115 million, representing a 20% decrease from 2019 levels. Working capital is expected to be a use of cash in 2021, partially driven by the favorable timing of working capital in 2020. In addition, Visteon expects to make contributions to its U.S. defined-benefit pension plans at levels similar to the 2020 levels. Excluded from adjusted free cash flow, our restructuring payments, which we anticipate will be approximately $40 million and are related to previously announced restructuring programs. As the environment continues to evolve due to the semiconductor shortage, creating some near-term uncertainty, we may need to revise our assumptions. Turning to Page 16. We provide an adjusted EBITDA bridge from our 2020 results to the midpoint of our 2021 guidance. We are expecting adjusted EBITDA to increase in 2021 to a range of $230 million to $270 million, representing an adjusted EBITDA margin of approximately 8.5%. As we believe the semiconductor shortage costs related to higher purchase prices, logistics and some product redesigns are transitory in nature. We have attempted to isolate the impact of these specific items and currently believe they will be in the range of 100 basis points in 2021. Excluding the semiconductor impact, we would anticipate EBITDA margins to increase approximately 200 basis points at the midpoint. This is primarily driven by scale and efficiencies, which more than offset the return of some costs related to the increase in activity levels. Additionally, the restructuring programs announced in 2020 are anticipated to improve adjusted EBITDA by approximately $60 million on an absolute basis or approximately 100 basis point on a year-over-year basis as our 2020 results included restructuring savings of just over $30 million. This incremental structural savings helps offset the non-recurrence of the short-term austerity measures we implemented in 2020. Although, we are not providing targets for individual line items, I do want to highlight that starting in 2021, the cost of our program management function will be moved from adjusted SG&A to gross engineering. This move is driven by our restructuring programs, which streamlined our organizational structure. Program management is now fully integrated within the engineering function. For your reference, program management expense in 2020 was approximately $15 million. Given that we believe the negative volume impact and higher cost for the semiconductor shortage are temporary, we are reinstating our 2023 adjusted EBITDA margin target of approximately 12%. Our confidence level in achieving this target is increasing based on the strong order book we have combined with a structural savings we implemented in 2020, which has reset our cost base. Although we anticipate a challenging start to 2021, we plan to execute on our strategy regardless of the market backdrop just like we did in 2020. Turning to Page 16. Visteon continues to be a compelling long-term investment opportunity. We have positioned the company for topline growth, margin expansion and continued free cash flow generation while our strong balance sheet provides significant flexibility. Thank you for your time today. I would like now to open the call for your questions.
Operator: [Operator Instructions] Your first question is from the line of Steven Fox with Fox Advisors.
Steven Fox: Thanks. Good morning, everyone. First question, just since you guys were so bold to provide full-year guidance and look out further, can you maybe sort of talk about the risks of the supply chain to meeting that second half idea that things start to normalize? Are you seeing bottlenecks at the suppliers? Or are there other OEM concerns that we should think of? And then I had a follow-up.
Sachin Lawande: Sure. Yes. Good morning, Steven. So first of all, I would like to just maybe expand a little bit more on this semiconductor shortage that we have currently. It's an industry-wide issue. That's affecting all suppliers and also all OEMs. And we are working at the same time very closely as you would imagine with the suppliers and OEMs to mitigate the impact as best as we can. Now it's really important to understand how this shortage came about as I’ve tried to explain in my prepared remarks. But the two most important reasons seem to be faster than expected, the V-shaped recovery that automotive had in Q3 and Q4, at the same time the increase in demand from consumer electronics. Now work is underway to increase capacity at the wafer fabs and other sub-suppliers of this semiconductor suppliers. But that activity takes anywhere between 20 to 26 weeks of lead time before we can get extra semiconductor supply. So at this stage, we are expecting that in the first half of this year, we will see an impact as an industry anywhere around up to, I would say about three weeks of production. And the supply should start – the increase should start to appear in the third quarter and continue to improve from there going into the fourth quarter. We do expect that that increased supply will be able to make up for some of the losses that we would have experienced in the first half, but not all of it because the demand at the same time in the second half also appears to be quite robust. So given where we stand which we see as a result of that, about 4 million to 5 million units of production to be impacted this year.
Steven Fox: Great. I appreciate that perspective. That's very helpful.
Sachin Lawande: You got a second question?
Steven Fox: Yes, I did. Just on the digital cluster growth, which is really tremendous now. Can you talk about maybe a little bit under the covers in terms of how you envision sort of the mix improving based on your order book towards not just the larger screen size, but embedded more into the dashboard as opposed to sort of some of the pop-up displays we're seeing right now?
Sachin Lawande: Yes. I think it's a really interesting development that we are starting to see and automotive is really following the lead of consumer electronics in terms of look and feel of the displays. While at the same time, there are some very specific automotive challenges that we need to overcome. So we are seeing the trend to go towards what we would call here as pillar-to-pillar displays, but using multiple large displays behind a single glass covalence and using very thin borders, et cetera, to make them look a lot more like what you see with tablets and other consumer products. In addition to that, we are starting to see specific requirements of automotive, such as the need especially on the passenger side to limit that distraction that could be caused for the drivers. So privacy solutions are required in automotive. There's also interest in replacing more of the buttons with touch with haptic something that we’re starting to see really emerge now. And so in response, Visteon has developed our own display technology called microZone, it's an alternative to OLED, offers very specific automotive relevant features that even OLED does not offer. And on top of that, we are developing our own active privacy solution for passenger displays that I just mentioned, and also dynamic image enhancement capabilities, which will make the graphics really look very nice even in ambient light conditions that we have in automotive use cases that you don't have typically with consumer electronics. So we're really very excited about this whole shift towards larger displays and we’re starting to see that happen now. Now we've mentioned digital clusters. We are seeing really good growth and we expect that to continue. Now in 2021, we are seeing some impact on that growth on account of the semiconductor shortage, but I expect that to come right back as we get more semiconductors towards the second half this year and continuing into 2022 and 2023.
Steven Fox: Great. That's all very helpful. Thank you very much.
Sachin Lawande: Thank you.
Operator: Your next question is from the line of Luke Junk with Baird.
Luke Junk: Yes. Thank you for taking the question this morning. Sachin, wondering if – first, we can talk about industry acceptance of – or interest in wireless BMS technology following your announcement with GM last quarter. Our understanding is that there was some hesitancy around being first on OEM now that GM has taken a pledge, how does that changed the tone of your conversations with other OEMs over the past few months? I think you also mentioned you were looking at showing your second wireless BMS win to customers going forward as well.
Sachin Lawande: Yes, no. I think it's a very important point, Luke. Also, anytime you introduce a new technology, especially wireless in a mission-critical situation like the powertrain, you clearly have to overcome a lot of concerns that people would rightfully have. And so we have done a lot of work in that area in terms of ensuring the reliability of the system as well as to make it very robust and address security considerations as well. And the win and the discussion that we had in the last quarter with GM certainly has made a huge impact in our ability to talk to other OEMs and for them to take this technology seriously. Now what's really important to understand is how a BMS solution, the significance of that in the design and development of new EV platforms. One of the first decisions that an OEM has to make, then they decide to build an EV platform is the design and architecture of the battery cells and modules and packs because that ultimately becomes a critical factor in how they can then deploy that into vehicle models. So that usually is one of the very first decisions they make. And the BMS solution is very much tied to that architecture. Now if you have a wired solution, as you can imagine, your options [indiscernible] are limited in terms of how you can then configure the modules to form the packs and wireless solution gives them ultimate flexibility. So this technology that we have introduced has all of the right benefit especially for OEMs that have a EV platform strategy. All they really want is just to build one-off vehicles on, say electric technology, it may not be as important. Clearly for us, that kind of a business is also not as interesting as a platform business that we can design and develop that solution once and it can go into a high number of vehicle models thereafter. So this second win that we talked about here on this call is a similar win. It is a platform that has been developed by this OEM. By the way, this is a new customer as well for Visteon. We do not have other business with them and so we are really excited about the potential of future growth. This is similar in terms of the engagement that we had with GM a couple of years ago where we started work on the platform. And then now as the OEM started to add more vehicle models, the business grew in terms of scope and we expect to see something similar in this case as well.
Luke Junk: Really a great color. Thank you for that. As my follow-up to Jerome, I was hoping we could talk about the incremental margin walk this year. So thank you for the EBITDA margin percentage walk on Slide 16. I'm wondering if we could outline that on a similar basis just in terms of what guidance seems for incrementals in 2021 both on an underlying basis and adjusting for some of the moving pieces that we have last year and this year?
Jerome Rouquet: Yes, sure. Luke, good morning. So overall our incremental margins will be similar to what we've guided previously. We've always talked about 20% to 25%. We'll be at the midpoint for next year at 22% exactly. I think what's important to mention is the fact that in 2020 we did reset our cost base, so even though the incremental margins for 2021 are not fundamentally different from what we've been guiding, we do have a lower cost base and therefore it's reflected in our EBITDA margins going forward. So 22% I would say excluding the semiconductor impact is what you're looking at for 2021. Maybe expanding into the future as well that's kind of the – roughly the incremental margins that we're expecting as well that will be adding going into 2023 and which will allow us to achieve our 12% EBITDA target.
Luke Junk: Great. Thank you.
Operator: Your next question is from the line of Rod Lache with Wolfe Research.
Rod Lache: Good morning, everybody. First question is just to clarify is the second BMS win somewhat related to the first one, simply because the Ultium is going to be used by more than one OEM. And you could just clarify if the input that you've received or feedback from other OEMs, have you gotten any indication about how you stand relative to some of the others that have also been working on developing a wireless BMS solution?
Sachin Lawande: Sure. So Rod, just to be clear, the second win has no connection with the first business win GM or with the Ultium batteries. It's a completely different – separate customer, different development, which is what frankly makes it even more exciting for us. As you know, there are other OEMs. We've talked about Honda using the Ultium batteries in our BMS with that engagement, but that's not in any shape related to what we disclosed here on this call. So to your other question, we certainly are getting the feedback that in terms of a wireless BMS approach that we have a lead as compared to our competitors. And that's simply on account of the work that we have done over the last about two to three years now on this technology. Having said that, I would expect that other competitors would be working and trying to bridge that gap and we should not expect that we would be the ones and the only ones with the solution of which is the case today, which we will happily take and hopefully convert into more wins like this second win that we have announced. So we are trying to capitalize on this momentum and the lead that we have, but at the same time expecting to see more competition to come up.
Rod Lache: Great. Thank you. I was hoping maybe if you can share any volume expectations from the second OEM and – but my second question would be, recently Ford talked about increased collaboration with Google and utilizing Android operating system in their infotainment systems. And obviously you have a lot of experience here. And I was just hoping you might be able to just speak to what you see happening here at OEMs potential customers and whether this is a software that is disintermediating you? Or is this something that is actually enhancing your position?
Sachin Lawande: Yes. Just to go back to the question that you asked about the volumes. What I can share with you is that this win similar to our initial engagement with GM has volumes associated with the initial launch of a EV on this platform. And I believe it's about 150,000 units per year and expected to grow as the OEM add more vehicle models similar to what we faced with GM. So that should give you some color on the magnitude of that win. On this Ford, Google announcement, it's actually a very positive announcement from our perspective because as you may know, today we do not participate in any infotainment business at Ford. And at the same time, I believe Visteon has more experience in building Android-based digital cockpits with our SmartCore technology. We talked about our SmartCore evolution that integration with Qualcomm’s new processor and multiple engagements that we have on that type of solutions. I don't believe that there are too many competitors who have as much experience and capability in Android-based digital cockpits like we do. So I see that as a positive development and we hope to participate in some fashion with Ford as we go forward into the future.
Rod Lache: Great. Thank you very much.
Sachin Lawande: Thank you.
Operator: Your next question is from the line of David Kelley with Jefferies.
David Kelley: Hey. Good morning, everyone. Maybe just a question on gross margins and then I have a follow-up on the wireless BMS discussion. So starting with the fourth quarter gross margin, and I'm looking at Slide 26 here. If we remove the engineering impact that looks like cost of sales ticked up 500 basis points to 600 basis points as a percentage of growing revenues. Can you just talk about or provide some color on some of the drivers of that increase?
Jerome Rouquet: Yes. Sure. Good morning, David. So overall, I would say – I’ll step back and maybe talk about EBITDA first. So overall our EBITDA margin was 9.5%, and it is very similar to what we had done in Q3 when you exclude the austerity measures. So versus Q3, our EBITDA margins have decreased because of the austerity measures not reoccurring again. We did have more sales in Q4, but I think one of the most significant items we had versus Q3 was the fact that we started to see additional supply chain costs and that's probably the most relevant item versus Q3 that is important to mention. We had approximately 80 basis points of additional supply chain costs related to logistics expenses, related to spot buys with brokers and that's going to continue as we know probably in Q1 and Q2 of this year. So that's really one of the key items. If you do as well the comparison versus prior year in terms of the gross margin, prior year was very elevated due to very high engineering recoveries. We had as well a pretty high level of claims last year at the time, you have as well various items this year impacting the gross margin versus prior year being warranty expenses being a little bit higher as well as incentive compensation that we've increased as we went into the year given that the performance increase. So there are a lot of moving parts, but I think the relevant item is really the fact that overall our performance was in line with Q3. And the way to look at our performance as well is really to combine and how we represented the financials, H1 versus H2. We do think that H2 is very relevant of our performance with sales level being obviously at $1.5 billion for second half.
David Kelley: Okay, great. Thanks. That's very helpful. And then maybe following up on the BMS discussion, recall you're working with ADI on the Ultium platform. I believe they've separately also announced a second platform win as well having yet disclosed the OEM. So I was just hoping you could confirm whether or not they are your semi-partner, and then maybe just taking a step back, could you talk about the go-to-market strategy as we think about potential further BMS build-out? Are you partnering or working with a semi-supplier, such as an ADI to pitch to OEMs, just wondering kind of how that semi relationship works for you? Thank you.
Sachin Lawande: Yes. So I can confirm, David, that your understanding is correct. So ADI is our partner here in this engagement, the second win as well. As you can imagine, we have a lot of work that we have done together that we want to bring to other OEMs and we expect this joint collaboration and go-to-market to continue together. We are, as we speak also in discussions with other OEMs. And in most cases, the way it works is that Visteon being a Tier 1 supplier, we have the relationships and the engagement lead and the silicone supplier is assisting in specific areas of the solution where they clearly have a strong role to play. So this is the model that we are rolling out to multiple OEMs while we engage in the development of the systems that we have won and we continue to invest in our capabilities in this area. Because the key thing that I would like you to take away from this is that the BMS technology is not a static fixed function, fixed feature solution, it’s evolving as the OEMs are understanding more about how to work with batteries and what more features and capabilities to add to it. So we see that as a ongoing area of growth of our content first and, of course, that will drive growth in price and ASPs.
David Kelley: Okay. Thank you. That's very helpful. Thank you both.
Sachin Lawande: Thank you, David.
Operator: Your next question is from the line of Itay Michaeli with Citi.
Itay Michaeli: Great. Thanks everybody. Jerome, maybe just to talk on the last question on the year-over-year EBITDA walk in the fourth quarter ex the engineering, a little bit of engineering did come in below your expectations. Just can you talk about the incrementals year-over-year, it's on the other puts and takes that you gave a sequential walk, which was helpful, hoping could you do a quick year-over-year walk as well on the EBITDA?
Jerome Rouquet: Yes. So Itay, good morning. You're referring to Q4 of prior year 2019 to Q4 of 2020.
Itay Michaeli: Yes.
Jerome Rouquet: Yes. So as I mentioned, we had – if you look at the gross margin that we had in Q4 of 2019, it was pretty elevated and really not in line with the overall performance for the full-year. So you had – you have a lot of moving parts, but we had very high engineering recoveries in Q4 of 2019 pre-high as well. Customer recoveries on the commercial side, which we call customer claims and this did not reoccur again in Q4 of 2020. You have as well on the other side, as I mentioned, warranty expenses, which are a little bit higher in Q4 of this year, they tend to be a little bit lumpy and we do have as well a higher incentive compensation comp for Q4 of 2020. So therefore, you've got high recoveries on one side in 2019, and then some further expenses in Q4 of 2020, which makes that variance pretty large, in fact when you look at it this way. As I said earlier on it's really H2, which we believe is the right reflection of our performance for the company at a level of $1.5 billion in sales.
Itay Michaeli: Great. That's very helpful, Jerome. And then maybe a bigger picture question on the sustainability of growth over market maybe a mid-to-high single-digit rate of growth over market beyond 2023. I think you alluded to, of course, higher take rates and just higher EV penetration as a source of incremental growth beyond 2023. But can you share any sort of bookings targets for 2021 that you would need to reach in order to feel confident about that sustainability of the growth of the market beyond 2023?
Jerome Rouquet: Yes. Sure, Itay. And certainly, I think we have been on a path to achieve a $6 billion of more in terms of new business wins for the past few years. 2020 was an exception and we know the reasons why. But as we look forward, the trend of upgrading the cockpit to digital continues to be strong rather for new vehicle models or for extending the life of older models through mid-cycle updates. In fact, in Q4 of our $1.4 billion in wins about 25% of that was for mid-cycle updates. And so as we look at just the pipeline of new opportunities for this year, it's looking actually quite strong, particularly for SmartCore, especially Android-based SmartCore solutions or displays in the [indiscernible] digital clusters. One thing I should mention is that this diversion of clusters into digital that when that we have been discussing for the past few years, it's actually in full bore right now, and yet about only 25% of what we ship today for clusters are all digital. So we still have a really good path forward here, even beyond 2023, as we start to see that conversion to continue, which brings along with it higher sales prices of clusters versus the other kind. So now coming back to the target for 2021, the pipeline that we have, the trends that I talked about in terms of the digital cockpit together with the trend towards EVs, which is also positive for us because EVs tend to have higher digital content plus BMS opportunities. We believe we should be achieving $6 billion in new business wins in 2021.
Itay Michaeli: That's very helpful. Appreciate all the detail. Thank you.
Jerome Rouquet: Thank you, Itay.
Operator: Your final question is from the line of Joseph Spak with RBC Capital Markets.
Joseph Spak: Thanks very much everyone. Maybe just one more on sort of the second wireless battery management system, is that – I know you sort of talked about size, and I'm assuming the content is in the same range as you talked about prior. But what about – when is that expected to begin production? I mean, does it – is it – I guess, is it in your updated 2023 revenue target?
Jerome Rouquet: Yes. Joe, so it actually starts to ship in 2023, but at very low volume, so it's not material towards 2023 guidance. And it will ramp up from that point onwards.
Joseph Spak: Okay. So then if we look at 2023 now versus prior, I know, sort of relatively similar when you sort of adjust for volume that's how you guys look at it?
Jerome Rouquet: Correct.
Joseph Spak: Okay. And then just on the $30 million supply chain headwind next year, I just want to understand, is that the volume impact you're talking about or are you also paying higher prices for some of the semiconductor content because we saw some announcements that they were raising prices, given the lower shortage. And how does that work with your customers? Are you able to pass that through? Or is that sort of – its own sort of separate negotiation when you have to pay higher prices for the chips?
Jerome Rouquet: So I’ll take that one, Joe. Good morning. So we've seen already some cost increasing in 2020 in Q4. And as I said earlier, that's one of the reasons as well why our margin was a little bit lower in Q4 because we started to see a few costs coming in. The first one relates really to, I would say, the general supply chain condition and the fact that we got a higher cost of logistics, that's one pillar. The second – and that will continue we think into Q1 and Q2, at least of 2021. That the second big bucket that we are forecasting in our $30 million relates essentially to spot buys that we've got to make at elevated prices from distributors for semiconductor purchases. So this is another reason, and the second part of the bucket. The third bucket, which is probably a bit lower, but it's included in there. It's the fact that as well, we'll be redesigning a few parts here and there to – able to accommodate for some of the changes. So that's at a high level to $30 million. There has been, indeed, as you said, comments in the press about suppliers raising prices. In our case, a lot of our prices are locked and we're negotiating in fact before the crisis started. So we are covered on that side. We don't have – at this point in the $30 million, the assumption that we would recover that from customers, but that's definitely something that we would address at some point.
Joseph Spak: Okay. So it's possible, there's an offset in sort of some of the engineering recoveries that it sort of tend to get over the course of the year?
Jerome Rouquet: Possible is the word I would use…
Joseph Spak: Okay. Thank you very much.
Sachin Lawande: Thank you.
Jerome Rouquet: Thank you.
Kristopher Doyle: Thank you. And this concludes our earnings call for the fourth quarter and full-year of 2020. Thank you everyone for participating in today's call and your ongoing interest on Visteon. If you have any follow-up questions, please contact me directly. Thank you.
Operator: This concludes Visteon’s fourth quarter and full-year 2020 earnings call. You may now disconnect.